Operator: Good morning, ladies and gentlemen, and welcome to the Omnicom Third Quarter 2017 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. At this time, I'd like to introduce you to your host for today's conference, Vice President of Investor Relations, Shub Mukherjee. Please go ahead.
Shub Mukherjee: Good morning. Thank you for taking the time to listen to our third quarter 2017 earnings call. On the call with me today is John Wren, President and Chief Executive Officer, and Phil Angelastro, Chief Financial Officer. We hope everyone has had a chance to review our earnings release we have posted on our website, www.omnicomgroup.com, this morning's press release along with the presentation covering the information that we will review this morning. This call is also being simulcast and will be archived on our website. Before we start, I've been asked to remind everyone to read the forward-looking statements and other information that we have included at the end of our investor presentation, and to point out that certain of the statements made today may constitute forward-looking statements, and that these statements are our present expectation and that actual events or results may differ materially. I would also like to remind you that during the course of the call, we will discuss some non-GAAP measures in talking about Omnicom's performance. You will find the reconciliation of those measures to the nearest comparable GAAP measures in the presentation materials. We are going to begin this morning's call with an overview of our business from John Wren. Then, Phil Angelastro will provide our financial results for the quarter, and then we will open up the line for your questions.
John Wren: Thank you, Shub. Good morning, everyone, and thank you for joining our call. I am pleased to speak to you this morning about our third quarter results. Organic growth for the third quarter was 2.8%. For the nine months ended September 30, organic growth was 3.5%. EBITDA margin in the quarter was 13.2%, an increase of 50 basis points compared to the third quarter of 2016. In the third quarter, reported revenue was down 1.9% compared to the prior year. Net acquisition disposition revenue was negative 5.7% for the quarter. The disposition process that we started in the fourth quarter of 2016 was substantially completed in the first four months of 2017 and will cycle through the financial statements through early 2018. We did see a benefit to the revenue from FX changes in the quarter of 1%. Phil will discuss the estimated impact of net acquisitions dispositions and currencies in more detail during his remarks. Looking at our revenue by geography, organic growth in North America was 2.1% in the quarter, driven by our media, healthcare and events businesses, offset by declines in our direct marketing and branding agencies. Drilling down in the region, growth in the United States was 2.4% and was offset by a small reduction in Canada. Although small, Puerto Rico also declined in the quarter, and our main focus now is on helping our people and agencies in the market recover from the effects of the hurricane. Our branding business, which I mentioned on our last call, which is largely project-based continue to struggle. As I will discuss later, we have recently made management changes in the business and have corrected some of the operational issues we encountered. We expect the branding business to begin to stabilize as a result of these changes. PR in North America was also slightly negative in the quarter. Turning to markets outside North America, the UK grew at 3.8%. Our media, healthcare and PR agencies drove our growth in the UK, offset by declines in our field marketing business. Organic growth in the rest of Europe was 7.8%. In Euro Markets, overall growth was strong. Germany and France grew in the mid-single-digits, Spain performed extremely well, and The Netherlands had positive results after a number of negative quarters. Outside the Euro Markets, our agencies performed well, including Russia, which had very positive results. Looking at Asia Pacific, third quarter organic growth was 1.4%. India, Japan and Singapore, all outperformed in the region, offset by negative performance in China. Latin America was down 5.4%. Our operations in Latin America other than Brazil had positive results. Brazil is by far the largest market in the region and drove the negative performance. At this stage it is difficult for us to predict when our business in Brazil will consistently improve, but we remain cautiously optimistic. Looking at our bottom line, EPS increased to a $1.13 per share for the quarter versus $1.06 per share for the same quarter a year ago. In the first nine months of the year, we generated a little under $1.2 billion in free cash flow and returned over $900 million to shareholders through dividends and share repurchases. Last week, we announced the quarterly dividend increase of $0.05 per share or 9.1%. Our use of cash remains consistent with past practice, paying our dividend, pursuing accretive acquisitions, and repurchasing shares with the balance of our free cash flow. Our cash flow, balance sheet, and liquidity remained very strong. Looking at the rest of the year, there are couple of factors that result in less visibility as we plan for the fourth quarter, as has been the case over a number of years this quite a bit of project work that occurs in the fourth quarter that can impact revenue. Each year, we've found this year-end project work is between $200 million and $250 million. Client spending on these projects is not easy to forecast, and typically it is based on individual client circumstances and general economic conditions. Having said that, our agencies remain laser focused on servicing their clients, driving growth, and managing their costs. We remain committed to delivering our revenue and margin targets for the full-year 2017. I'd like to turn now to discuss some of the factors affecting our industry and how Omnicom is responding as an organization. As you are well aware many of the world's largest companies and best known brands are experiencing fundamental changes in their industries due to new technologies, disruptive competitors and changing consumer behavior. For these large brands, the name is many of us grew up with the relationship with their customers has changed. That's because technology has advanced to a point where consumers today want information that is directly relevant to their needs. Given the challenges many of our clients facing there is a significant opportunity for Omnicom to help them transform the way they approach their customers. Marketing needs to be tied into the advertisers' broader strategy, including sales, service, product innovation, and other functions with the consumer at the center. With this in mind, we continue to transform the way we are organized in a manner that allows our management, people and agencies to effect change by offering clients the most creative minds with access through the latest tools in the marketplace. To do so Omnicom remains focused on our key strategic priorities, growing and developing our talent, while increasing the diversity of our workforce, simplifying our service offerings through our new practice area and client metric structure, making investments in our agencies and through acquisitions and partnerships to expand our capabilities in digital, data and analytics, and continuing to execute our operational efficiency initiatives. Given our focus on providing our clients with consumer centric services in the third quarter we formed a new practice area by combining our CRM and digital agencies, we form Omnicom Precision Marketing Group, which will be led by Luke Taylor. Luke recently joined Omnicom and was formerly CEO of DigitasLBi. He is one of best and brightest in our industry, when it comes to CRM strategies and digital business transformation. We are extremely pleased to have in this part of our organization. There is a tremendous opportunity for Omnicom Precision Marketing to leverage Annalect, our core data in analytics platform, and to working partnership with our creative and media agencies to help our clients put individual identities at the center of their marketing. It will help us drive growth by getting the right message, to the right person, at the right time, and on the right platform, and in the right context. It is the capability such as these that will enable Omnicom's clients to form the direct relationship with the consumer that is needed in today's digital and always connected world. Indeed Omnicom is committed to being a first mover when it comes to offering clients to latest media, technology, data and e-commerce tools. We already have more than 100 partnership agreements and recently sign deals with the number of first party data suppliers as we look to build richer, bigger data sets. In addition to Omnicom Precision Marketing, we now have practice areas in place for healthcare, PR, and national brand advertising. Several others are in-process and should be completed in the first half of 2018. Our practice area in client metric structure enables better sharing of expertise in knowledge, creates more career opportunities for our people, strengthens our new business development efforts, leverages our internal investments and allows us to identify acquisition opportunities for the group. As an example, Omnicom Health Group has created several forums for our experts in the healthcare working across our clients that meet regularly to brainstorm ideas, bringing added value and innovation to those clients. On the people front, Omnicom Health Group launched a fellowship program to bringing graduating students with advanced scientific and medical degrees that rotate through various disciplines in the group in their first year of employment. They have also established a centralized human resource function to look at talent in a more holistic way. This allows the group to open more doors for our people as they grow and evolve, and to move them across our agencies as the key roles develop. On the technology front, Omnicom Health Group agencies are leveraging the data marketing capabilities that they acquired through the BioPharm acquisition with Annalect data sources to open new ways for our pharmaceutical clients to engage physicians. Our other practice areas are working in similar ways to enhance the opportunities for our people and the services we deliver to our clients. Overall, I'm very pleased with the way our practice areas are developing. On the topic of retaining and developing the best talent, one of the hallmarks of Omnicom is that we strive to make our organization a place where people can build their careers. We place considerable effort on succession planning, advancement and diversity. A great example of this is the recent appointment of John Osborn as the CEO of OMD's U.S. Operation. Ossie joined BBDO in 1996 and rose to the level of President and CEO of BBDO New York in his 21 years. Ossie was looking for the next chapter in his career, so Daryl Simm and Robinson and myself, thought he'd be a perfect fit for running OMD USA. As content and context become increasingly intertwined, agency leadership with experience across the broad spectrum of marketing services is critical to growth and client success. More recently, Charles Trevail, CEO of our agency C Space, became the new CEO of Interbrand. In addition, C Space will become part of Interbrand. Charles joined Omnicom in 2012 when C Space purchased Promise Corporation, a company he founded. Charles has a proven track record of building brands and we're pleased to have him in his new role. The Interbrand and C Space partnership is also an opportunity to bring world-class expertise together, brand building, and consumer experience to drive growth for our clients. One of the barometers we use to measure our success in cultivating the best talent is the performance of Omnicom's work for clients in award shows. In the third quarter, at the 2017 Spikes Asia Festival of Creativity, Omnicom agencies continued to be the most creatively awarded in the industry. BBDO received the nights' top honors by winning Network of the Year, and Clemenger BBDO and Colenso BBDO placing second and third in Agency of the Year category. Media Agency of the Year was awarded to PHD New Zealand, with OMD Singapore placing second. Omnicom agencies took home seven Grand Prix awards, more than any other holding company, in digital, direct, film, healthcare, PR and entertainment, as well as the only Creative Effectiveness award. In total, 20 Omnicom agencies in 15 countries contributed to more than a 130 Spike awards with work from 50 different clients. Our ability to win these awards reflects our outstanding creativity and talent. I want to congratulate our people on their efforts and their accomplishments. And in the area of diversity, we're very pleased that Omnicom was once again designated as a best place to work for the LGBTQ community by the Human Rights Campaign Foundation. Turning now to our operations, we continue to make very good progress on our real estate information technology, back office and accounting services and procurement initiatives. Through these programs, we're enhancing our platforms, systems and controls and reducing costs. Our success in streamlining operations as contributed to the margin improvement we have achieved this year. In closing, we are pleased with our financial performances in the nine months of 2017. And in an uncertain environment, we are well positioned to deliver on our targets for the full year. I will now turn the call over to Phil for a closer look at third quarter results. Phil?
Philip Angelastro: Thank you, John, and good morning. While, our business has continued to operate in the challenging marketplace, our agencies once again did well in meeting the financial and strategic goals we set for them. Total revenue for the third quarter was $3.7 billion with organic revenue growth of 2.8% that brings our year-to-date organic growth to 3.5%, due to a slightly weakening of the dollar against the currencies in our significant foreign markets. FX positively impacted our revenue by 1% in the third quarter. We also continue to experience of reduction relative to prior periods, and our reported revenues resulting from the disposition of several businesses that did not set our strategic priorities. This included Novus, our specialty print media business as well as certain agencies within our field marketing and events discipline. These dispositions net of our recent acquisitions reduced our third quarter revenue by $216 million or 5.7%. I'll go in to greater detail regarding the changes in our revenue in a few minutes. Looking at the income statement items below revenue, operating profit or EBIT for the quarter increased 2.4% to $464 million. With EBIT margin improving to 12.5%, a 50 basis point improvement versus Q3 of last year. Similarly, Q3 EBITDA increased to $492 million and the resulting EBITDA margin of 13.2% also represents a 50 basis point increase over Q3 2016. Main drivers of our margin improvement continued to be our ongoing efforts to improve cost efficiencies throughout the organization, which are focused on real estate, back office services, and procurement initiatives, as well as the positive impact on margins from the dispositions of several businesses late last year and early this year. For the balance of the year, we'll continue to expect that our dispositions will negatively impact our reported revenue and EBIT dollars. With the modest benefit of approximately 20 basis points to our overall EBIT margins. Now turning to the items below operating profit. Net interest expense for the quarter was $46.4 million, up $4.4 million versus Q3 last year, and up $1.1 million versus the second quarter of 2017, versus Q2 interest expense increased $2.2 million, primarily driven by reduction in the benefit from our fixed-to-floating interest rate swaps as well as an increase in interest rates. All interest income increased $1.1 million due to an increase in cash held by our international treasury centers relative to Q2, versus the third quarter of last year the increase in interest expense of $6.1 million was primarily driven by reduction in the benefit from our fixed-to-floating interest rate swaps as well as the increase in our commercial paper interest rates. This was partially offset by an increase in interest income of $1.7 million, while our cash balances held were down slightly versus last year, an increase in interest rates positively impacted income for the quarter. Turning to income tax expense, as you recall at the beginning of the year, we're required to adopt ASU 2016-09, which change the way income tax expenses recognized on share-based compensation under U.S. GAAP. Newly implemented standard requires that the difference between the book tax expense and the cash tax deduction recorded on our tax return from share-based compensation, we've recognized as income tax expense. This difference is generated as a result of our stock price on the date of the award compared to the stock price on either the date that restricted stock vests or the date that stock options are exercised. In the past on the GAAP is difference for us was recorded directly to equity and not to the P&L. The standard requires prospect of recognition and does not allow restatement of prior periods. As a result under the new standard, we recorded an additional tax benefit on share-based compensation of $4.8 million during the third quarter, which reduced our quarterly effective tax rate by 1.1% to 31.6%, and our year-to-date effective rate to 31.1%. Excluding the benefit from the adoption of the new accounting standard, our year-to-date effective tax rate would have been 32.6%, the same as the year-to-date rate for 2106, and in line with our expectations of 2017's full-year tax rate. Earnings from our affiliates were $1.1 million during the third quarter, down a little from $1.4 million in Q3 of 2016. And the allocation of earnings to the minority shareholders in our less than fully owned subsidiaries decreased slightly to $23.3 million. As a result of the foregoing items, our net income for the quarter increased by about $10 million or 3.9%, $263.6 million versus $253.8 million in Q3 of 2016. Now turning to the calculation of earnings per share for the third quarter on Slide 2. Net income available for common shareholders for the quarter was $263.3 million. Our net share repurchases made over the past year reduced our diluted share count by 2.5%, 232.7 million shares. As a result, our reported diluted EPS for the quarter was $1.13, up $0.07 or 6.6% versus diluted EPS of $1.06 from Q3 of last year. Q3 2017, the impact of the new income tax accounting standard increased our diluted EPS by about $0.02, because the final income tax benefit is based on Omnicom's share price at the future vesting date for restricted stock and at the exercise date for stock options. It is not possible to estimate with any degree of certainty the impact the new accounting pronouncement will have on our income tax rate, our net income, or our diluted EPS going forward. Please note that in future periods this impact could be positive or negative based on movements in our stock price. 2017 almost all of our share-based awards are restricted stock have vested for this year. As a result, the impact in the fourth quarter of the year is expected to be minor. On Slide 3 and 4, we provide the summary P&L, EPS, and other information for the year-to-date period. I will just give you few highlights, organic growth increased revenue by 3.5% during the first nine months of the year, while the FX headwind reduced revenue by 0.5% and the net impact of acquisitions and dispositions reduced revenue by $413 million or 3.7%. As a result, for the year-to-date period, revenue totaled $11.1 billion, a decrease of 0.7%, when compared to the first nine months of 2016. Operating profit or EBIT through nine months totaled $1.44 billion or EBITDA was $1.53 billion both increase in 2.3% versus last year. And our operating margins and EBITDA, an increased 40 basis points for the nine months compared to last year. And on Slide 4, you can see our year-to-date diluted EPS was $3.55 per share, which is up $0.24 or 7.3% versus 2016. Year-to-date the impact of the new accounting standard increased our diluted EPS by $0.08. Moving to the details of our revenue performance for the quarter, which starts on Slide 5. During the quarter for the first time since 2014, the net impact of the changes in currency rates had a positive impact on our revenue, adding 1% or $39 million. For financial reporting purposes major driver of our FX movement in the third quarter versus last year was the euro, which strengthened 5.7% against the dollar. In addition to the movement of the euro, the dollar weakened against the Australian dollar, and the Canadian dollar as well as several other currencies. The dollar also strengthened against the Japanese yen, British pound, and the Turkish lira. Over the past several quarters for financial reporting purposes, we experienced significant FX headwinds resulting from the decline of the British pound after the Brexit vote in June of 2016. We have now cycled through that significant year-over-year decline. If currencies stay where they currently are, based on our most recent projections, the net impact of FX is expected to be positive by approximately 2% in the fourth quarter, which would result in the impact of FX for the full year being flat. The impact of our recent acquisitions net of dispositions decreased revenue by $216 million in the quarter or 5.7%. As we have discussed, we completed several dispositions over the past 12 months, including the disposition this past April of Novus, our specialty print media business, which was located in the U.S and Canada. While we will continuously evaluate our portfolio of businesses, at this time we do not anticipate any additional significant dispositions during the remainder of 2017. Our current expectations are that the impact of acquisitions net of our disposition activity will reduce revenue by approximately 4.75% in the fourth quarter, and as a result by approximately 4% for the year. Organic growth was positive 2.8% or $106 million this quarter. Some highlights of our organic growth this quarter include geographically we had a solid performance in the UK and Continental Europe. And our North American agencies performed better in the quarter with growth of 2.1%. Our media offerings, including PHD and Hearts & Science, continue to perform very well, offset by some challenges faced by OMD. And Omnicom Healthcare Group had a solid performance at both its domestic and international agencies. On Slide 6, we present our regional mix of business. And you can see during the third quarter, the split was just under 57% for North America, about 10% for the UK, 18% for the rest of Europe, 11% for Asia Pacific, 3% for Latin America and 2% for Africa and the Middle East. Turning to the details of our performance by region on Slide 7, in North America, organic revenue growth was up 2.1%. While this was an improvement over recent quarters, the performance remains mixed across disciplines. We saw solid growth in our media, healthcare and events businesses, while our branding, direct marketing, point of sale and PR agencies underperformed. In the UK, organic growth was up 3.8%. While most of our businesses in the market continue their solid performance, overall organic growth was tempered by sluggish results from our field marketing and direct marketing businesses. The rest of Europe continues to perform well, up 7.8% organically in the quarter. All of the significant markets within Eurozone were positive organically, including strong performance in Germany France and Spain. We also saw solid performance by agencies in the smaller Euro markets, including Italy and Portugal. And The Netherlands had slightly positive organic growth in the quarter. Organic growth in Europe, outside the Eurozone was positive in most markets, except for Turkey, which had negative growth. The Asia-Pacific region was up 1.4%. Solid performances throughout the region, including in India, Japan and Singapore, were offset by some softness in China. Turning to Latin America, Brazil's economic issues continue to overshadow solid performances elsewhere in the region, with negative organic growth 5.4% in the quarter. While the comparison for Brazil Q3 of 2016 was inherently difficult due to an uptick in marketing activity last year as a result of the Rio Olympics, the ongoing macroeconomic issues continue to represent a significant challenge for our agencies there. Outside of Brazil, our agencies in Mexico and Colombia had strong performances. And finally, Africa and the Middle East, which was our smallest region was down 1.6%, largely due to decreases in project-based CRM businesses and a difficult comparison to last year. Slide 8 shows our mix of business by discipline. For the quarter, split was 52% for advertising services and 48% for marketing services. As for their organic growth performance, our advertising discipline was up 4.7%. Growth continues to be led by our media businesses, both domestically and internationally, and solid performances from certain of our full-service advertising agencies. CRM was up marginally for the quarter, with mixed results across our businesses and regions. Within CRM, our branding, direct marketing and point-of-sale businesses lagged, while our events businesses had a strong quarter. PR was slightly negative this quarter, driven mainly by weakness in the U.S. which saw a difficult comp due to the benefit last year of the presidential election. Specialty communications was up 5.1% organically, driven by the performance of our healthcare agencies here in the U.S. and across most international markets. Turning to Slide 9, we present our mix of revenue by our clients' industry sector. When comparing the year-to-date revenue for 2017 to 2016, you can see a slight shift in the percentages each industry contributed toward our total, with autos and food and beverage increasing, while the contribution from the consumer products and travel and entertainment industries decreasing. Turning to our cash flow performance, on Slide 10, you can see that in the first nine months of the year, we generated nearly $1.2 billion of free cash flow including changes in working capital. As for our primary uses of cash on Slide 11, dividends paid to our common shareholders were $388 million. The year-over-year change reflects the effects of the 10% increase in the quarterly dividend that was approved last year, partially offset by the reduction in shares outstanding due to repurchase activity. Dividends paid to our noncontrolling interest shareholders totaled $87 million. And capital expenditures were $108 million, up slightly this year. Acquisitions including earn-out payments, net of the proceeds received from the sale of investments totaled $87 million. And stock repurchases net of the proceeds received from stock issuances under our employee share plans totaled $514 million. All-in, we outspent our free cash flow by $13 million during the first nine months of the year. Turning to Slide 12, regarding our capital structure at the end of the quarter, our total debt at September 30 was $4.97 billion. Net debt at the end of September was just over $3.1 billion, in line with our prior year levels and an increase of about $1.2 billion since the beginning of the year, resulting from the use of working capital that normally occurs in the first nine months of the year, which was approximately $1.3 billion. This increase in net debt was partially offset by the effect of exchange rates on cash over the past nine months, which increased our cash balance by $196 million. As for our ratios, our total debt-to-EBITDA ratio was 2.1 times, and our net debt-to-EBITDA ratio was 1.3 times, and as a result of the year-over-year increase in our gross interest expense, our interest coverage ratio decreased 10.8 times, but still remains very strong. Turning to Slide 13, we continue to manage and build the company through a combination of internal development initiatives and reasonably priced acquisitions. In the last 12 months, our return on invested capital ratio moved to 20.2%, while our return on equity ratio was 48.9%, both increased from last year. And finally, on Slide 14, we track our cumulative return of cash to shareholders over the past 10 years. The line on the top of the chart, those are cumulative net income from the beginning of 2007 through September 30, 2017, which totaled $10.7 billion. While the bar shows the cumulative return of cash to shareholders, including both net share repurchases and dividends, which during the same period totaled $11.3 billion, all resulting in a cumulative payout ratio in excess of 100% since the beginning of 2007. And that concludes our prepared remarks. Please note that we have included a number of other supplemental slides in the presentation materials for your review. But at this point, we're going to ask the operator to open the call for questions. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Alexia Quadrani from JP Morgan. Please go ahead.
Alexia Quadrani: Thank you. I guess, John, looking at the U.S. organic revenue growth, which has been - which looks a bit better this quarter, I mean, do you believe that some of the headwinds that had caused the organic growth last few quarters to soften have sort of lessened a bit? Or is it really too soon to tell that you've kind of turned the corner there? I guess, just in other words, putting it very plainly, I mean, do we see better - discontinuation of improvement in U.S. organic growth in the quarters ahead?
John Wren: Yes is the answer to your question. We've been dragged down by a couple of specific things. Our branding business, where we just changed management and it takes a little bit of time to go out and sell those projects, but it's not a very long lead-time. So I fully expect that in the first quarter, that headwind will be removed from us and I'm looking forward to that. Direct marketing has been a problem in the last several quarters, creating a headwind. And with the addition of Luke and some other people, we've changed the management team and the approach in that area and I'm looking for pretty immediate improvement in that regard, because we've spoken to Luke for a very long time and he's been with us since July. The third other area, which isn't a problem on a worldwide basis, but in the U.S. what we have and this won't change. It's just an explanation. If you look at Accuen programmatic side of the business a lot of clients and we've actually pushed this into the operating branch within the media company. We haven't lost clients, but we changed the way that we do business with them with a fully disclosed method. And that cost us probably 0.2% in the United States in this past quarter. So some of the problems that you see in explanations that you receive from our competitors, we have a different set of problems and we've addressed ourselves to the largest ones and we'll continue to do so.
Alexia Quadrani: And then just on PR is there anything sort of influenced that segment that, that could be addressed or is that just more of a cyclical thing, where you're seeing some periods of weakness, but it's going to bounce back like other parts of your business?
John Wren: I expect that will bounce back. People are changing the product to meet the market. And there's probably one unit in particular where there still has to be more management changes which haven't occurred yet.
Philip Angelastro: There is also a little bit of election benefit in the 2016 third quarter and fourth quarter results, Alexia, that from a comparability perspective the comp in Q3 and Q4 of 2016 is a little more challenging than normal.
Alexia Quadrani: And then, Phil, just maybe one last one, on the - sounds like you guys had the majority of dispositions within the first four months of the year, so do you happen to have a sort of a just a rough idea of how much of those dispositions, how much they benefit organic growth in the quarter?
John Wren: How much they benefit organic growth or…?
Alexia Quadrani: Yeah, because they were - I assume they were lower growth businesses, getting rid of them would add a little bit of lift to organic growth if at all.
John Wren: It actually has no impact on organic growth, Alexia.
Alexia Quadrani: Okay.
John Wren: They get carved out.
Alexia Quadrani: Perfect. Okay, thank you very much.
John Wren: Sure.
Operator: Your next question comes from the line of Julien Roch from Barclays. Please go ahead.
Julien Roch: Yes, good morning. My first question is Accuen contribution to Q3 organic. Did I understand correctly, John, you said there was a 20-basis-point negative? That's my first question. The second one is on working cap, $1.3 billion negative after nine months. I know the seasonality is going to get better in Q4, but that is $500 million worse than last year. So what's happening and maybe if you could give us a full year guidance? That's my second question. And then on Q4, you say it was the hardest quarter to guide to, because you had $200 million to $250 million of kind of project-based revenue. Could we get a feel of the last kind of 10 years, what has been the worst year and the best year of those project-base? Does it go as low as 100 million and as high as 400, so we can gauge the volatility of Q4? Thank you.
John Wren: Sure, I think I've used the exact language that I used this morning for the past 10 years, because we went back and looked at the scripts of what I said. So it is very much the nature of our business. There was only one year I believe where it didn't come through and that was 2007, I'm looking - 2008 after the great crash or great recession. We always - we are conservative. We typically get some of that, if not, all of it back. But we can't - as I said, we don't have visibility as to when some of these projects are going to occur. It's $200 million on a $4-billion-plus base, so it's a struggle right up until the end of the year. The only complicating factor I see over and above individual companies having difficulties or individual companies wanting to promote things is a lovely U.S. government and what they can do to disrail progress on any given day, let alone [indiscernible]. I'll let Phil answer your other two questions.
Philip Angelastro: Yeah, so the Accuen numbers, Julien, the U.S. number or the impact on U.S. was basically negative $9 million and the overall worldwide number was growth of around $2 million, so roughly flat globally and the negative in the U.S.
John Wren: Right, $9 million would have been 0.3%, so would have changed 2.8 to 3.1.
Philip Angelastro: The working capital numbers, essentially some of the issue in Q3 is timing, but some of it is frankly underperformance on our part. I think the bottom line is we ultimately need to do a better job on the blocking and tackling, which is what working capital management comes down to. And we need to do that on an agency-by-agency, region-by-region basis. So it needs to - it needs a much greater focus in the fourth quarter which it typically gets. And frankly, we've been working on that already and we'll be very focused on it in the months to come.
Julien Roch: Thank you very much.
Operator: Your next question comes from the line of Peter Stabler from Wells Fargo. Please go ahead.
Peter Stabler: Good morning, one for John and one for Phil if I could. First, John, could you step back and help us a little bit on CRM. You called out branding, some of the management changes and some of the weakness. But when we look back over the last couple of years in CRM and marketing services in general, it lagged. Could you help us understand, kind of looking forward, your expectations? Do you think CRM can reach parity levels of growth with traditional advertising? And then a quick one for Phil, on North America with the sequential improvement any, say, really significant or large events in North America that you would call out or was this kind of a more balanced improvement across those leverage you mentioned? Thanks so much.
John Wren: CRM, the way that we group companies and services in what we present to you includes things like direct marketing, it includes digital operations, it includes events, it includes a number of other companies. As we didn't say this clearly, but, for instance, we've broken out direct marketing and our digital businesses under the leadership of one particular individual this past quarter. There are other events, I mean, other actions that we're planning to take to look at that category and leadership without the companies within that category. And those will be done in the coming months as soon as we identify the right leaders. Principally in the past, the people overseeing those weren't experts in a particular craft. The change that we've been going through over the course of the last year is to change the leadership for the group to somebody who is expert in the craft. And we are starting to see progress as a result of making those changes, and we are going to continue to do that and hopefully will be done with it. I said in my remarks, we'd be done by the middle of next year. I hope to be done sooner than that. And then it takes a little bit of time for the individual to get their arms around the operation, to start to make contribution. So CRM has taken the hits. Some of them have very large companies in them. Some of them have, as I said, there is a - in the field marketing there is some of our outsourcing businesses and shopper promotion. So those are other areas, which when they get projects they tend to be large projects and when - if they don't get a project, you feel they're paying in a much more severe way than if an advertising agency lost a particular client. So I don't know if that helps, but that's the reality of it all.
Philip Angelastro: Yeah, I mean the overall goal, Peter, with the practice areas, especially in CRM, is when you get to disciplines like direct marketing, which John talked about, branding, shopper, events businesses, it's essentially to better align the people, the agencies and the resources within a discipline, so that we can better leverage investments across those agencies that are in the same business and the same discipline as well as strengthen new business development efforts, grow the practice area in a more cohesive way. And a big part of it is also to help improve the coordination of the groups within or the agencies within that discipline and link them to our overall top client matrix growth strategy. So we want to drive a larger share of wallet with our largest clients. And we think the practice area is going to help us improve, when it comes to coordination and integration in that front. Specifically your question on North America, I think we mentioned the larger items, because in reality there are some ups and downs. So the healthcare and events, and the media businesses did well, some of the advertising brands did well, some of the advertising brands did not do as well in North America. And then the branding and direct marketing businesses as well as PR had a down quarter in North America. So it was kind of a mix of a number of pluses and a number of minuses.
Peter Stabler: Thank you.
Operator: Your next question comes from the line of John Janedis from Jefferies. Please go ahead.
John Janedis: Hi, thank you. John, maybe one for you and a quick housekeeping one for Phil. I know it's early, but as you're heading to the end of the year, can you talk about the tone from your large global clients? Are they getting more or less constructive in terms of the outlook? And I think you've talked about some challenges in certain end markets, has that changed? And then quickly for Phil, how are we thinking about the buyback business, slowing in the quarter, meaning 3Q suggest that there may be some potential M&A or is more just a timing issue?
John Wren: Well, I have to say every one of my major clients is because of their growth rates and purchase they have on their businesses are looking for innovation, change and simplicity. And so that is something we've been dealing with at a pace for the last several years, and I don't see any - I don't see that changing anytime soon. So we are required to change your businesses to make the more agile, to make the more responsive to the clients' needs. And in many cases, organize them in such a way that we eliminate the complexity of management of those combined businesses to individual client needs. I mean, one of the reasons is - many of the reasons we did the divestitures, we've done over the course of the last year, as we took a lookout three, five years these are still good businesses, but we didn't see them as part of our group making a positive contribution in years out. One the reasons you see us breaking up some of the categories we refer to, they're not small by any means, but to get craft leadership on top of them is to make our workforce in those particular areas more nimble, perhaps somebody that is only focused on transformation of businesses or first party data. And that's all they do, they don't also worry about outsourcing other things. They have all their time to go out and hunt for new business and new opportunities, and to change the portfolio of what they're responsible for. So it is more reflective of what the clients are saying today. So we're working on all these things, but we don't expect a break in the action for anybody to give us six months past to get the changes in place, we're doing this, as we are running the company.
Philip Angelastro: On the buyback question and M&A, I think you should expect us to take the same consistent approach in terms of our free cash flow. I think, as we approach the fourth quarter and look at 2018 from capital allocation perspective. I think, we've got a good M&A pipeline, some deals we've been look at for an extended period of time. But we are pretty disciplined about our process. And to the extent that we can find attractive deals that meet our strategic requirements, and are a good cultural fit, and we think we can integrate them well. And we can get them - we can get agreement on a reasonable - at a reasonable price, we're going to do those deals. We're ideally going to do more of those deals than less. And we're going to use the balance of the free cash flow to buy back shares. I think, in the fourth quarter, specifically, we're going to see what we can get close before year end, and adjust the buyback up or down as a result.
John Janedis: Thank you very much.
Operator: Your next question comes from the line of Ben Swinburne from Morgan Stanley. Please go ahead.
Benjamin Swinburne: Thanks. Good morning. John, I think, with all said and done, you'll have sold assets this year or dispose of assets representing, I think about $500 million of revenue. When you look at your business going into 2018, particularly your earlier comments on CRM and PR, are there things you guys are considering that might not be strategic or may not help the portfolio longer term or do you feel like you've really pruned as much as you want at this point when you look at the landscape?
John Wren: I'd have to say, we're substantially done. We are - is a couple more small businesses that I get the right exit price for them, I'd let them go, but it won't have the kind of impact on the overall performance reported numbers that going through this year, first quarter of next year. But by and large, as I said, we are substantially done. We'll refocus more on - much more focused on acquisitions, as Phil said. And there's a number of them that look promising whether or not, as Phil said, we'll be able to complete them at prices and terms that make them part of the family. That's the remaining question, but we're working pretty hard, trying to close them by the end of the year.
Benjamin Swinburne: Okay. It's just the follow-up actually tying time sort of M&A to whatever is happening on the consultant front. I know for the most part you and your holding company peers have not seen any material impact on your business to date from the move by the Accentures and the IBMs of the world on organic growth. I'm just curious, if you're seeing them show up in the same deal flow around M&A, because it does seem like at least there is flowing capital on the acquisition side more and more?
John Wren: We're not really seeing them to any extent, I mean, they are big headlines, Three Monkeys in Australia, I looked at that five years ago, I think it has $26 million of revenue and it's in Australia. It makes a global headline, but it's not. But Australian companies are not seeing them in Australian pitches, I mean, [to put that way] [ph]. So they've got a lot of resources, they can do what they want, and we would never ever cut them short, or think that they could someday figure it out. I've heard the best idea from Accenture, if they want to do this type of - do what we do, they can come and offer to buy the best and the brightest of us.
Benjamin Swinburne: There you go. Okay. Thank you.
Philip Angelastro: Operator, I think given the market's going to open, we probably have time to just one more question.
Operator: Okay. The question comes from the line of Steven Cahall from Royal Bank of Canada. Please go ahead.
Steven Cahall: Thanks. Maybe just two for me. The first just on some industry verticals. I think, I've heard, when I was last in Europe that the customer products companies there had under-spent a little bit on their advertising in the first half of the year. And we're picking some of that up in the second half of the year. So I was wondering, you could comment at all on what you're seeing in the consumer staples market and if any of those sort of blue chip companies were seeing a positive inflection here in the back half of the year. And then also on the media business, you called that out a couple of times as a source of strength in your advertising business. I was wondering, if you could just discuss overall how big that is as a percentage of revenue of the company, and also what growth rate you're seeing in your media business. Thank you.
John Wren: It's rumored to your first question. When I was in Europe last week or week before, that - in speaking to a few CEOs that they will spend more principally through their cost cutting efforts and they don't want to lose more market share. And they're competing against new competitors just as almost every major businesses. So we're hoping that, that they turn the conversation into budgets. But until they do, we can't claim victory.
Philip Angelastro: Yeah, in terms of the specifics around the media business, we don't go through and break out that in detail. I think the thing to keep in mind is that there has been a lot of change over the last few years, especially recently, and a lot of integration in media, traditional advertising and other parts of our business. You can see that in some of the wins we've recently had, take AT&T as an example. And, yeah, there are other parts of our businesses that have media as a component. Certain markets for example like Brazil, media is integrated with advertising, you can't have a standalone media business. I think overall though, the advertising discipline largely reflects a combination of our traditional advertising agencies and media businesses. And we're particularly happy with the investments we made starting seven or eight years ago in the Annalect platform that's helped drive some of the big wins we had over the last few years. And as we integrate that more and more into all of our disciplines, not just the traditional advertising businesses, we think it puts us in a really good position, competitively did to win more than our fair share of new businesses going forward.
John Wren: I think, Phil, summed it up earlier in a word, where our objective is a share of wallet. We want to service clients in their marketing needs as much as we can with the skills and the disciplines we have in the company irrespective of what silo they may be sitting in.
Steven Cahall: Thank you.
Philip Angelastro: Okay. Thank you everybody for joining the call. We appreciate it.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.